Biz McShane: Good morning, and thank you for joining the Regis Third Quarter Fiscal 2024 Earnings Conference Call. I'm your host Biz McShane, Vice President, Corporate Controller. All participants are in listen-only mode and this conference is being recorded. The prepared remarks by our President and Chief Executive Officer, Matthew Doctor and Executive Vice President and Chief Financial Officer, Kersten Zupfer are accompanied by slides to help participants follow along. I would like to remind everyone that the language on forward-looking statements included in our earnings release, and 8-K filing also apply to our comments made on the call today. These documents along with their presentation today can be found on our website, www.regiscorp.com/investorrelations, along with reconciliation of any non-GAAP financial measures mentioned on today's call with their corresponding GAAP measures. Today's slides are located in the investor presentations and supplemental financial statements section of the investor site. With that, I will now turn the call over to Matt.
Matthew Doctor: Thank you, Biz. Good morning, everyone. Before I jump into our Q3 fiscal 2024 results. Just a quick note about our strategic review process. As I've noted on prior calls, this effort is aimed towards improving the health of our balance sheet and best position the business for long term profitable growth. We are making progress on the review and will not be otherwise be disclosing any new developments on the call today. As Kersten and I will discuss, we will remain focused on executing our strategic plan as this process continues. Now with that, let's turn to the quarter. Same-store sales rose 0. 5% in the quarter and 1.4% year-to-date. We saw a similar progression in comparable sales throughout the quarter, just as we did in our last quarter, which is our fiscal Q2. Weather had a significant impact to the start of our fiscal Q3 as the first three weeks ending January 21st demonstrated comps down 6.2%. Our salons did a good job during the rest of the quarter making up for that lost ground, as we ended the month of January with a negative 3% sales comp, followed by positive 1.3% comps in February and a 2.8% positive comp in March. The disparity I mentioned last quarter between our top and bottom quartile salons that has been a recurring theme is still a factor here, which is driving the overall sales comp as well. With our top quartile salons by sales volume across all of our brands, collectively demonstrating approximately 5% same-store sales growth for the quarter. Adjusted Q3 EBITDA on a consolidated basis was $5 million compared to $4.2 million in the prior year’s quarter putting us back on track for year-over-year progress and profitability. For the first three quarters of fiscal 2024, our adjusted EBITDA of $18.5 million is a $2.7 million improvement versus the first three quarters of fiscal 2023 adjusted EBITDA of $15.8 million. We continue to make progress on our reported operating income with $4.1 million in the quarter versus $2.1 million in Q3, fiscal 2023. A $2.1 million improvement. Operating income for the first three quarters has improved by $11.1 million versus the prior year at $16.3 million versus $5.2 million during the first three quarters of fiscal 2023. From a liquidity perspective, we continue to have ample liquidity and have made progress in limiting our cash use despite the headwinds that remain in our business. We ended the quarter with approximately $37 million in liquidity and a roughly breakeven regarding cash from operations for the quarter. From a salon count perspective, we continue to see declines in our franchisee store count. Over the quarter, we had net closures of a 124 versus a 139 during Q3 2023. On a year-to-date basis, we've had net closures of 268 versus 339 during the first three quarters of fiscal 2023. I've discussed on each of our calls that this is a dynamic that is ongoing and unfortunately, one that is fairly unavoidable. With these closure salons averaging a $131,000 in sales for the last 12 months of being open, which is less than half of the system average. And one-third of the top quartile average of close to $400,000 for the last 12 months. We expect this trend to continue. And we will ultimately get to a point where we reestablish a foundation with a lower salon count. Albeit with a base of higher sales volumes. And don't get me wrong, while I have looked to lay out the potential benefits that come with shedding salons with significant losses borne by our franchisees, this is absolutely not a celebrated effort as even losing low volume salons means we lose revenue as a franchisor and the potential brand perception implications. However, these closures do ultimately strengthen the underlying franchisee base given the drag these salons have on their profitability, especially as our franchisees work hard to build their businesses back. It's the reality that we face. And despite these closures. We have managed to operate the business in a manner, which allows us to continue to grow profitability. And it is this smaller base of stronger salons that our efforts will be pointed towards in order to drive performance going forward. Now, in recent quarters, you've heard me speak about our six priority areas of focus, each of which will help ensure the stability and longevity of Regis. The first being addressing our capital structure. And as I alluded to earlier, we are in the midst of our strategic review process with the goal of addressing this for the long term. The other five priorities relate to the core business, and we will continue to make progress on these areas and I would like to share some developments related to these initiatives on the call today. I want to reiterate that many of these are foundational back to basics initiatives, and you'll notice they're a bit different from others that we've been speaking about in the past. And at this time, after trial and error, we strongly believe is what our system requires to unlock the potential of our brands and set them up for success going forward. Our first and primary area of focus is customer experience, which we have been working to improve by honing our consistency and processes across our salons to revamp development, rollout, and enforcement of brand standards. I view this as the number one priority to drive salon operations going forward, and I am excited as this is a very much needed effort, having observed disparities and operations and procedures throughout our salons. These disparities are not the result of any singular event or reason, but rather a byproduct of various historical initiatives at Regis over the years in addition to the need for stabilization and survival during recent times. While it's no doubt been a focus in the past, for the first time in many years, customer experience through service excellence will be the number one priority of our organization. The initial rollout will start in our Supercuts brand, and this past quarter, we made good progress on that front by aligning on the revised set of standards, which will be accompanied by a complete overhaul of franchisee and stylist training materials. We are also narrowing in on the mayor in which we will be ensuring we have eyes on each one of our salons over the course of the year. Something we haven't had for quite some time and frankly can no longer continue. Having clear views on each of our salons and where they land on the ability to deliver a quality environment and service excellence is critical, and we expect to start implementing this in full force towards the end of this calendar year. I view this as the next significant change management exercise for our system now that we're coming up on the end of the Zenoti technology platform rollout. Which I will speak about next. We've spoken about this transition of our salons to the Zenoti point-of-sale system for almost two years now. As this forms the foundation of yet another key to reviving the customer experience. We are pleased to have this finish line for this transition in sight, which will mark the end of what's not only been a two-year journey to Zenoti, but really a seven-year technology journey for Regis when taking into account the development of OpenSalon Pro back in 2017. This transition will not only help increase digital engagement with our customers and ensure seamless and reliable user experience, but will also increase our data capture so we can better engage with our customers in a more personalized manner across the board. We're already seeing some early operational benefits that we plan on rallying around once the system is on the platform. By and large, our efforts to date really have been focused first and foremost on the migration itself. Once that is complete, the real work begins to put it to full use. That said, organic online booking continues to prove fruitful. Salons with more online booking availability continue to outpace the system from a sales and traffic perspective, and this notion of advanced booking is made simpler on Zenoti and is one of the many key benefits it brings. In addition, we've noticed a significant uptick in our Google review footprint just by being on the Zenoti platform and leveraging its post visit guest feedback capabilities, which in turn help drive search ranking and online presence. Now, while these are just a few organic examples, we have not even scratched the surface with this platform, and we are excited to start utilizing it with intention as an execution tool for our customers and franchisee stylists. As of Friday, April 26, we had close to 2,600 salons migrate to the Zenoti platform. This is up from 1600 salons on our last earnings call, and we are on track to completing our migrations this summer, likely with the last salons migrating in July. We have completed the transition of all SuperSalon users to Zenoti. So all that is left now are those on OpenSalon Pro. And from a migration payment perspective, we will likely cross that salon count payment threshold this fiscal Q4 and receive payments in Q1 and Q2 fiscal 2025. As a reminder, we have received $20 million in proceeds to date, which has gone towards servicing our debt. Executing on brand standards and utilizing Zenoti are the two initiatives that really form the foundation of our salon operations priorities. With these in place and ready to be executed on is where we will build the business, and our next major priority is the rollout of targeted promotions and loyalty strategies to drive traffic and sales. One of the key initiatives here is the development and rollout of our Supercuts loyalty program, Supercuts Rewards. This has moved out of the test phase and into full rollout. Our first wave of salons include 350 going live by the end of May, with the expectation this will be a brand standard for all of Supercuts in 2024 with all remaining salons participating by the end of September of this year. Based on the results that we see from this launch, we can pivot and take relevant elements to roll out across our other brands, in addition to other promotion strategies that we are running. When thinking about the differentiating areas of our brands and where we will win, these three initiatives are all key pieces of the equation with the salon experience underpinned by enforced standards, convenience and connections through Zenoti, and stickiness through a powerful loyalty program which is fairly nascent in our industry. The fourth focus area I want to address on this call is the backbone of execution in salons, the stylists. We know how important it is for stylists to be equipped with the best education in the most current trends, techniques, and soft skills to provide superior excellence for the customer. We have a robust network of corporate and franchisee employee trainers to ensure stylists have the tools and training they need to deliver quality hair services. Our training program is a differentiator for us and often the reason franchisees choose Regis. In-person training is supplemented with our proprietary digital training program known as the Regis Education Playground, and that has engaging digital training modules for our stylist community. As we look forward, we're thinking about innovative ways to deliver an even more enhanced education experience. We firmly believe having both live training and digital components are foundational elements to stylist training, and we're looking to further bolster continuous engagement by leaning into AI and digital learning. Franchisees looking to address the turnover that exists at the 30, 60, 90-day marks of new hires, and we believe that engaging with them through the education program and a more robust onboarding process with that right mix of lives and digital education will increase engagement and drive retention of stylists past those critical points upon which they stay longer and tend to become more productive. More to come here as we continue to work through what this may look like with our franchisees. The last area I want to touch on before wrapping up is our focus on managing G&A. We are currently on track to end fiscal 2024 at approximately $45 million in G&A, equating to approximately $5 million in savings versus fiscal 2023 and over $50 million in savings since fiscal 2021. This marks yet another quarter we have decreased our G&A due to our continued efforts to ensure the business is appropriately sized and managed. Now in closing, I would be remiss if I did not mention all of the hard work and dedication of our employees and franchisees have put into these efforts. Everyone at Regis has been heads down and focused on advancing these important initiatives that we believe will set the company up for long term success. We know how important it is to stay agile and innovative in this field, and the back-to-basics efforts we are instituting, combined with the technological advancements we're implementing to improve the customer experience and salon productivity will pay dividends as we look to improve our current operations and open new salons. With that, I will now turn the call over to Kersten to provide more detail on our Q3 and full year results. Kersten?
Kersten Zupfer: Thanks, Matt, and good morning. For this morning's call, I will review our third quarter results. Overall, the third quarter was positive with positive system wide same-store sales, increased operating income and increased adjusted EBITDA. Reviewing the third quarter in more detail and beginning with the income statement, total third quarter revenues were $49.2 million and declined $6.6 million from the prior year. This revenue decline was expected and relates primarily to a reduction in franchise rental income and advertising fund revenue, which are a gross up of revenue and expense and have no impact on profitability. Additionally, transitioning out of company owned salons and product sales reduced revenue with minimal impact on profitability. Royalty and fee revenue of $18.3 million, which represents our core business revenue, was down $200,000 versus the prior year's third quarter due to the number of salon closures over the course of the last 12 months. Another reflection of our revenue performance is system wide same-store sales, which grew 0.5% in the quarter. We posted GAAP operating income of $4.1 million in the third quarter compared to $2 million in the prior year quarter. The increase in GAAP operating income of $2 million was driven by primarily a decrease in G&A expenses compared to the prior year period. We continue to produce operating profit each quarter, and we expect that trend to continue. We reported a net loss of $2.3 million and a loss per share of $1 in the third quarter compared to a loss of $1.6 million a year ago and a loss per share of $0.71. The decline in the quarter was a result of contingent sale proceeds related to our sale of OpenSalon Pro in June of 2022 of a $0.5 million in the prior year period compared to no proceeds recognized in the current quarter and higher interest payments this year partially offset by an increase in operating income. Now let's turn to our adjusted results, which reflects how management views the business. On an adjusted basis, third quarter consolidated EBITDA was $5 million compared to $4.2 million in the prior year quarter. The 800,000 increase was due primarily to the lower G&A costs. Our adjusted G&A was $11 million for the third quarter, a decrease of $1.3 million from the prior year quarter. The decrease is due primarily to lower headcount and timing of expenses. With our continued focus on cost structure, we now believe our annual run rate G&A will be in the range of $43 million to $46 million. Our core franchise business achieved adjusted EBITDA of $5.8 million in the quarter, a $1 million increase compared to $4.8 million in the prior year quarter. This improvement is primarily related to a reduction in G&A spend due to partially to lower headcount and timing of expenses. On an adjusted basis, our company owned segment lost $800,000 for the quarter, a decline of $200,000 from the same quarter last year. The decline is due to inventory write offs related to company owned salon closures. With 20 company owned salons as of March 31st, our company owned salon segment will have significantly less impact on future periods, including the remainder of fiscal year 2024. Revenues for the first nine months of the year were a $154 million compared to a $178 million in the same period of fiscal year 2023. Similar to the second quarter revenue decline, this decline was expected and relates primarily to a reduction in franchise rental income, advertising revenue, and the wind down of our company owned salons, as well as lower product sales to franchisees. Adjusted EBITDA for the first nine months of the year was $18.5 million, a $2.7 million improvement compared to $15.8 million for the same period in fiscal year 2023. Adjusted EBITDA improved primarily due to our lower G&A and rent, partially offset by the $1.1 million grant from the state of North Carolina related to COVID-19 relief received in 2023. Turning to liquidity. As of March 31st, we had $36.7 million of liquidity, including $30.9 million of available revolver capacity and $5.9 million of cash. At March 31, 2024, our debt outstanding, excluding deferred financing fees, was a $187.8 million. We are in compliance with our debt covenants currently, and we do not expect to violate any of the covenants during the term of our facility. Additionally, we believe we have adequate liquidity to operate the business. As a reminder, due to accounting standards, our balance sheet shows approximately $313 million of operating lease liabilities related to liabilities associated with subleasing salons to our franchisees over the entire life of their respective leases. These liabilities are serviced by our franchisees and should not be factored in Regis' debt position so long as the franchisees continue to pay their obligations as they have been. These liabilities have decreased approximately $230 million over the last three years due to the reduction in salon count and also due to Regis moving off of franchise leases. Having our franchisees sign the leases accounted for approximately $95 million of the reduction. Regis is solely responsible for lease liabilities for our corporate office space and the 20 remaining company owned salons, which amounts to $9.7 million over the life of all the leases. In the nine months of the year, we used $7.1 million of cash from operations, which is a $1.3 million improvement from the prior year. Excluding the $1.1 million grant received from the state of North Carolina related to COVID-19 relief in fiscal year 2023, cash used in operations improved by $2.4 million primarily due to our lower cost structure, partially offset by increased interest rates on our bank debt. In the three months ended March 31st, we used $280,000 of cash from operations, which is a $1.3 million improvement from the prior year three-month period primarily due to our lower cost structure and partially offset by increased interest expense of approximately $700,000 primarily due to the higher variable interest rates on our bank debt. Management remains committed to continued cash management and returning to cash generation. This concludes my prepared remarks. I would like to thank you for your continued support and interest in Regis. I will turn it back to Biz to wrap up the call.
Biz McShane: Thanks, Kersten, and thank you for joining. This will conclude today's earnings call. If you have any questions about our financial results, please contact Kersten through our investor relations email at investorrelations@regiscorp.com.